Operator: Hello everyone. Joining us today as we review Stellantis' Half Year 2024 Financial Results. Earlier today, the presentation material for this call, as well as the related press release, were posted under the Investor Section of the Stellantis Group website. Today our call is hosted by Carlos Tavares, the company's Chief Executive Officer and Natalie Knight, the Company's Chief Financial Officer. After both Mr. Tavares and Ms. Knight present, they will be available to answer questions. Before we begin, I want to point out that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included on Page 2 of today's presentation. As customary, the call would be governed by that language. Now I would like to hand over the call to Carlos Tavares, CEO of Stellantis.
Carlos Tavares: Good morning and good afternoon to all of you. Welcome to this 2024 H1 Stellantis Financial Result Announcement session. We perfectly recognize that you are highly busy people and therefore value your time. Thank you for attending, and thank you for your interest in Stellantis. So let's get started. It is an understatement to say that H1 2024 results were disappointing and humbling. It represents a perfect convergence of several headwinds that I will describe to you in a very transitional period that opens the road for a product blitz of 20 new products. This is a bump on the road that we are now fixing and that we are going to fight against to make sure that we can rebound from here and that we fix the operational issues that we face. So what happened in H1 is a convergence of three major factors that I would like to share with you. Number one, we were in a dynamic of R&D, CapEx and M&A expenses that proved to be too high. And we are now fixing that. That's point number one. Point number two, we faced operational flaws, which were totally internal to Stellantis, and we are fixing that. And number three, some of our marketing tactics, namely in the US Market, did not deliver the expected results. The perfect convergence of those three factors in a transitional year, which is a product blitz that I will detail to you moving forward, has delivered the disappointing results that we are committing to you today. But in the fourth year of Stellantis, this is a resilient team, this is a fighting team, we are addressing those issues and we'll get through. So this is what I wanted to share on this first one, as you have a look at this fantastic new Grande Panda. And here, the new Ram 1500 RHO, who delivers the highest horsepower per dollar of any performance truck. And I would like to remind you all that the Ram brand was again Number #1 in the J.D. Power Quality Survey results. From here let me move into the summary of what has happened in this period. I will not detail the numbers on the profit, Natalie will comment that in detail, but still EUR8.5 billion of AOI and a double-digit margin. And as you know, the double-digit AOI margin represents our commitment to you in the framing of the Dare Forward 2030 program and strategic plan. We are near zero in the industrial free cash flow. And we know that a certain number of technicalities have made an impact on this number. We are around zero and this is not good enough as we all know. We will deliver on our commitments by giving you the return that we have committed on in terms of keeping a very strong capital return with EUR6.7 billion that has been returned to shareholders and with a plan to deliver what has been committed of EUR7.7 billion and we are executing and on schedule. In terms of product we will come back to you later on, 20 new products that means a significant product blitz that explains some of the significant cash-outs that you can see in the free cash flow. A lot of expense has been done to invest in the future, not only on the product but also on the technology and this is a turnaround for our company in terms of transformation. We see that we are now coming very strong in the C segment in Europe. It is quite clear that after being dominant in the B segment, B hatchback and B SUV, we are coming back very strong on the C segment with different brands starting with the Peugeot brand with the 3008 and 5008 very soon. They represent the first applications of the first Stella medium platform, and it proves to be a highly, highly competitive platform, as you have seen on the first slide, with a significant range of 680 kilometers. We are going through this transition. You will see that we are going to bring very strong products, very appealing products. You will judge by yourself, but it's quite clear that everybody is recognizing that our products are highly appealing. We have a significant number of third-party accolades, and the first ones to cheer our products are our dealers. Last but not least, we know that we have done part of the job, but not all the job, in terms of stabilizing our share. We see that in Europe, in H1 our share is up 60 basis points against the second half of 2023. We see that we have fixed the inventory problem of Europe still to be done in the US, as we will comment later on. This inventory discipline is in the US markets right now, the biggest point of focus. We are working very hard. I am personally involved with our North American teams to fix it. We believe we understood what happened, and I will explain that to you. And if we understand well what the problem is, then 50% of the journey is done to fix it and this is what we are now preparing for. Last but not least we still have ahead of us a lot of cost saving actions. We plan for no less than EUR50 million, EUR100 million in the rest of the world – sorry the rest of the year. So from here, let me move to the product blitz. The product blitz is quite outstanding. You see here the first 10 products we are now launching in H1. You have the electric versions of Maserati Grecale, for anybody that has driven those cars, it is another statement to say that they are gorgeous in terms of dynamics, in terms of agility, in terms of acceleration. We are now bringing to the market the Folgore versions of the Maserati Grecale. Later on we'll bring the Folgore versions of the GT and Gran Cabrio Maserati luxury cars. We are bringing the new RAM 1500, not only in the ICE versions, bringing all the different applications, including the high output applications that our customers are willing to buy, but also later on you'll see on the second slide other more electrified applications. The Peugeot 3008 is now on sale. We have no less than 36,000 orders right now. It is already a success, both in the BEV versions, highly profitable, and in the MHEV versions, even more profitable. So it is very rewarding to see that with 680 kilometers of WLTP range, the customers are willing to pay for that. And we are delivering the performance, the smooth ride, the great acceleration, and the performance on body roll control is also visible by our customers. At the end of the day, profitable BEV sales properly recognized by our customers. The rebound of the Lancia brand as a premium brand is now ongoing with the launch of the Lancia Ypsilon that you have already seen. We are bringing the best-in-class sales of Europe, Peugeot 2008 to Latin America, and we are now investing this product in Latin America to contribute to the profitability of this region which is already outstanding. We are bringing the third car of the smart car platform family the Citroen Basalt in June starting with the Indian market, the Peugeot 5008 as a derivative of the 3008, three-row seater, and then the three new LCVs, the compact, the medium, and the large van are now in the market with a strong improvements and upgrades. So this should be a tool for profitable market share growth. Those are the first 10 products of this product blitz. Let me move to the second part of the product blitz, coming soon and here you have an array of fantastic US focused products. The new Dodge Charger Daytona, BEV and ICE, will come later part of this year. I have driven this car. It is absolutely thrilling how dynamic it is, how powerful it is, how easy to drive it is. So great, great engineering work from our North American team. We will also bring the Wagoneer S, which is a perfect competitor to our respected Tesla competition. And this car is also a fantastic product in terms of smooth ride and performance, acceleration capability. Then we have the electrification of Ram. First, the REV, and then the 1500 Ram charger. The 1500 Ram charger has no less than 690 miles of range, while the pure BEV version goes from 350 to 500 miles. Needless to say that the power of the Stellantis technology in terms of electrification is now visible and can be appreciated by the consumers and we believe that this is going to give a boost to our sales. We will also bring the Jeep Recon, which is a fantastic outdoor oriented BEV. This product is bringing the best of Jeep, not only the off-road capability, but also the zero emission that is so aligned with the nature focus of these off-road customers. This is now coming to the US market. It's part of the EV offensive and electrification offensive that I have commented to you several times in the past. It's real. It's coming. We are now ready for this blitz. On the lower part of this slide you have the brand new Citroen C3 with the electric versions at EUR23,000 starting from EUR20,000. This demonstrates that we can be profitable and affordable while being a zero emission vehicle. This is the demonstration that we can fight against our Chinese competitors. We have the highly successful Alfa Romeo Junior. You can see in the expert media that they have appreciated enormously the performance of this product and the accolades are very numerous. We will bring the new Opel Grandland as a derivative of the Peugeot 3008. Again, great platform, great capabilities and then the very affordable off-road oriented Opel Frontera, a C-segment crossover. You'll see that this product will meet the expectations of young families who have a very diverse and active life, both urban and off-road oriented. And last but not least, presented this week in Serbia, the Fiat Grande Panda, with the big comeback of the Fiat brand in the B segment, with a highly modern, trendy and zero emission product, that will be also available with MHEV. I'll take this opportunity to say that many of those products, the Citroen, the Fiat Grande Panda, the Opel Frontera, the Fiat 600, all of these products will be offered around EUR25,000 versions. So the affordability of the electric technology of Stellantis is now going to be visible by the customers and that you can buy in the show rooms. So this is to demonstrate that this product blitz is real. 20 new models coming to the market and this has of course absorbed a significant part of our resources, hence the results that you see on the free cash flow. It's an investment for the near future profitability of the company. If I look at the technology, the technology we have four big themes that we can highlight to you. First, we keep our flexibility by giving the choice to our customers through the multi-energy platforms and the flexibility of our manufacturing facilities. We can align with what the customers are asking us. This flexibility is a huge differentiator that will give us the capacity to swallow, absorb the bumps on the road, the accelerations or [deposits] (ph) of electrification through mostly the North American and European markets. So this choice is real, this choice is there, our new platforms are now being used and our manufacturing facilities are ready. In terms of affordability, I already commented the E-C3 Citroen at EUR23,000, but other B segment cars will be sold under EUR25,000. So the affordability is there, and now we are ready to compete with our Chinese peers. Certainly we are ready for the fight. We have been working on this for many years now. It does not make us very popular in terms of reducing the cost, but now we are ready for the fight and we believe that we have a good chance to win on this fight because we have the technology, we have the products and we have the affordability with profit. This is important because it relates to the sustainability of our company. In terms of performance, we are bringing benchmark performance, including in the brand new I6 turbo Hurricane engine, but also in class leading platforms with best-in-class autonomies like the 680 kilometers range for the Stella M platform and I can tell you that some of the applications coming soon will cross the 700 kilometer line. So we'll be absolutely away from any kind of range anxiety syndrome in the mind of our customers. And of course we are going to bring the range extender versions both for the Ram charger but also from some Jeep Wagoneer applications. They will represent the perfect combination of the best worlds, a very significant range for those who want to enjoy long trips and at the same time the capability to use zero emission mobility for smaller trips on the day-by-day commuting. This is going to be the perfect offering to accommodate the diverse needs of many of our customers. Last but not least, in terms of productivity, our software division is becoming more and more efficient, not only with efficient and smart navigation systems like e-ROUTES to support the EV trips, but also the Connect Fleet services to support the fleet management of our customers. And last but not least, applications coming from ChatGPT to make our services even more attractive. Overall you have here four pillars of our technology foundation that each of the brands is using in a productive way to make our customers happy. If I move from here, now that I have explained to you what is ongoing in terms of product blitz with no less than 20 products in 2024, and the perfect convergence of several headwinds in a highly competitive market. I would like to comment to you the regions, starting with the Number #1 region in terms of concern, which is the North American one. As you see, we have lost AOI margin as a consequence of the hurdles that we have faced. Our margins are down to 11.4%. We see that our share is also down to 8.2%. But in May and June against April we were up 130 points -- basis points of share, which means that something is moving there. What has not moved efficiently is the economic consequences of the marketing tactics, and we think we can do better on the tactics and on the cost of those tactics. And I'm sure that through your questions, I will have the opportunity to give you precise answers about what did we find that went wrong and what are we doing today to fix it in the near-term. That's for the market share. We also see that in electrification we are Number #1 in PHEV sales and we are Number #2 in LEV sales in North America, and the LEV sales are up 27%, which means that growing by 27% our LEV sales just demonstrates that our technology here, mostly the 4xE technology, is being recognized by the consumers, and that's a very good thing for the credibility of our technology. We are also recognising that we are in a transitional period, which is not easy because we are introducing new technologies and electrified technologies. As such, the discontinuation of a certain number of vehicles over the last month represents no less than 100,000 units of shipments that we have lost as a consequence of those discontinuations. Of course, those discontinuations are going to vanish as we are launching the new products, but this is one of the reasons why we suffered on the first half. Our brand equity remains very strong. And this is by the way, what the dealers are telling me. And as an evidence of that, Ram has been awarded Number #1 in the J.D. Power 2024 US Initial Quality Study. This is important to notice. It has been the case four times over the last five years we were on the podium and two times over the last five years we were Number #1. So our brand equity on the Ram Pickup Truck brand is very, very strong and it is a big foundation on which we can build the future. If we look at Jeep, Jeep has been awarded the most patriotic brand for the 23rd year in a row and that is very meaningful to the heart of our US Consumers. We keep on fueling that, we keep on nurturing that, and what you are going to see with a Jeep Wagoneer S, and with a Jeep Recon is evidence of that focus, total focus on the US market expectations. Last but not least, we are addressing the commercial challenges. What I can tell you at this stage is that it is quite obvious from my own personal studies with the dealers and with our teams in the US that the way we have been managing the purchase funnel is sub-optimal and a certain number of flaws have been identified in the way we are managing the purchase funnel of our US sales. That is clear. This is what we are now addressing in terms of countermeasure. We believe that we have the right diagnosis. We need to make sure that we have the right answer, both in terms of marketing tactics and of course, in cost consequences to generate the appropriate profitability. This is what I can tell you for the North American market so far. I'm sure I will come back to this at a later stage. One of the things that we need to say here is that the major topic to be addressed is of course the inventory. This is what you have been highlighting and rightly so. By the end of June we are at 94 days of supply, quite similar to our closest US competitor, same ballpark of inventory but still too high. And this is what we are now addressing. We see that we are going to work on three different directions. One is to make sure that we are aligning our production planning mix to the market mix and we see that what we have in inventory is not always aligned with what the market mix requires. That means that we need to make sure that we bring all the versions that the market is asking from us and the perfect example is the new Ram 1500 DT version where some of the highest output versions were not available, some of the highest trim levels were not available on the right timing. This has created a distortion in the inventories that are sticking and this is what we are correcting right now, now that we have validated all the versions that we need to make the market response be more appropriate. We are of course looking at the incentives and any price adjustments that will be eventually needed. There is no dogmatism in our approach. There is just a sense that we need to take care of spending your money in the appropriate way. What we have seen so far from what we are told by the dealers is that once the customers reach the showroom, the conversion rate in the showroom is excellent, which means the conversion rate we have in the showroom is meeting the expectations of our dealers because they tell me that the product is appealing, the product is great, and we have just to make sure that we have more people that go through the door. So the conversion rate in the showroom is considered by our dealers as being the right one and even the good one. What is not good right now is that we are not generating enough leads. When we look at the purchase funnel and we try to understand why we are not generating enough leads, we come up with two clear failures that we need to fix. Number one is to make sure that the floor of the purchase funnel where we have the strongest bottleneck needs to be unlocked with a specific lateral marketing activity to unlock the bottleneck that we have in the purchase funnel. Each brand, each American brand has its own lock at one point of the purchase funnel. That lock needs to be unlocked. It's like taking off your tie to breathe better. You need to take that tie-off and I have asked our brand CEOs to find out a way to unlock the lowest conversion rate at the appropriate floor of the purchase funnel of each of those brands and that lock is different from one brand to the other brand. That is obvious and this is now something that we are preparing for. The other thing we have discovered which is I think very interesting and I would like to thank our teams and our dealers for pointing out that fact, is that we see that when we increase the share-of-voice, and we did so, when we increase the share-of-voice and we fill the purchasing funnel with more prospects. We see an abnormal rate of people that opt-out of the journey very soon in the purchase funnel. And why are they opting-out? As we are bringing more [prospects to a] (ph) higher share of voice. They are opting-out because the initial offerings are sub-optimal. Many offerings are just showing the sticker price, but they are not showing the commercial offers that we add to the sticker price, for instance, an attractive APR or even any kind of discount. And as we are only showing the sticker price, in some cases our sticker price happened to be higher than the competition, but of course the sweeteners are here to make that acceptable for the consumer. So we see that we are having an abnormal number of prospects that are opting out of the purchase funnel at the beginning of the journey because we are not bringing the sweetener strong enough and soon enough in the process to keep them engaged. That's an obvious flaw. The other one is that we are not unlocking the lowest conversion rate of the funnel and that needs a specific marketing plan. This is some of the things that we have seen. As I said, we are not dogmatic. We will adjust as it should be to make the metal flow and this is going to be something that we are going to conclude very soon as soon as we have all the diagnosis and the appropriate proposals. I will go to the US in the next couple of weeks to spend time with my US teams, so that together we find the most appropriate reaction to the inventory problem that was fixed in Europe but not in the US. And this is going to be the Number one, priority moving forward. If we go to the product portfolio, then we have the BEV offensive that's obvious from the products I have already commented both on Jeep and Ram. I already said that we are now bringing to Ram all the trims, all the engines including the ICEs that are requested by the market, starting with the high output engines. And of course we are preparing for this fantastic Dodge Charger that is going to be absolutely aligned with the brand positioning of Dodge. A lot of torque, a lot of power, fantastic agility, both ICE and BEV, and of course both two and four doors at one point in time. And we will bring back a Jeep mid-size SUV in 2025. We are now preparing for that, and that of course will help to have a better coverage of the market. Last but not least, we'll keep on reducing the costs to make sure that we create room in terms of margin protection to give back to the market what the market needs to absorb more of our products. We will continue to adjust the capacity, and we may have to do some of this because some of our inventory is going to sell down naturally, because some of that inventory has been built as a bridging to the new generation model, which is the case of Dodge, Charger, and Challenger. On purpose, we had built a significant inventory just to bridge with the new generation. Those models are going to [sell down] (ph). We also had a problem, as I said, in aligning the production mix to the market mix with the light duty pickup truck. We are now fixing that and we stop the plant for a few weeks to make sure that we bring everything we need for the electrified versions of the Ram pickup truck, like the REV and the Ram charger. This is something we will do and we will do more if it is needed just to adjust to the reality. In the meanwhile, we are also progressing on the best cost country content for the parts we buy because we need to generate more cost reduction to give back to the market what the market needs while protecting the margins of our business. So these are some of the actions that we are now preparing for and in the next few weeks with our North American team we will be deciding most of this action, if not all, to fix the inventory issue of North America that we fully recognize and that we are going to fix as our number one priority moving forward. If we go to Enlarge Europe, [Nigeria] (ph) is now under the heavy pressure of the Chinese offensive, a highly competitive market with the pressure from the Chinese carmakers, but not only also facing a slowdown in BEV demand that has of course make the business even more challenging. So it's a perfect combination of customers hesitating on the EV purchasing decision and the arrival of a very strong Chinese offensive. This overall very, very challenging environment has created a pain on the AOI margin, which is down to 6.9%. We are also down on the share by 80 basis points year-over-year. But comparing H1 2024 to H2 2023, we are up by 60 basis points. In the meanwhile, we have reduced inventory by no less than 40%, days of sales down to 64 days. We consider that the inventory is now normalized and that we have to a certain extent stabilized the share. Not to say that we should not do more, just to say that the situation is, from my perspective stabilized. And as we are bringing a very significant product blitz with the high-volume models, the 3008, the Junior from Alfa Romeo, the new Lancia, the new Opel Frontera, the new Fiat Panda, all of this is going of course to put us in a much better position to gain profitable share. I believe that this is going to work as we have stabilized the most difficult point of this transition for the European business. Not to say that it's not a challenging market. It will continue to be a challenging market and most probably it will be even more challenging in the future, but we are ready for the fight. In the meanwhile, we keep on having the leadership in the LCVs, and the good thing will come on the next slide, which is that we are now Number #1 LCV seller in Africa Middle East, which means that on the LCV business we are Number #1 in Middle East and Africa, we are Number #1 in South America, and we are Number #1 in Europe. So three of our six regions in the world, we are Number #1. And of course, this is good for the business, this is good for the volume, this is good for everything. And I just would like to congratulate the Middle East and Africa team. They have done a wonderful job with a more than 20% AOI margin, the most profitable region of the company, while we are facing some strong reaction from our competitors as we are Number #2 on the share, we keep on pushing and we keep on moving. And it is fair to recognize that we had some instability in Turkey and some administrative delays in Algeria. Not we had those headwinds, the results would have been even better than what they are already. But we are very, of course, supportive of the 20.9% AOI margin of Middle East and Africa. Another thing that we need to say is that, as we predicted and as we told you, the third engine, which is the combination of Middle East and Africa, South America and India and Asia Pacific, is now delivering a bigger profit than the European region. So in fact, we have a third engine that is delivering its full power at the same level of profitability as Europe. Not to say that Europe should not do better, but still this is the reason why we created the third engine, is to reduce the risk coming from the business footprint. And we have it. We have it now. And we intend to continue to grow it profitably. South America has also done a fantastic job with a record AOI margin of 15.6%. The AOI is up as much as the revenues are up in Middle East and Africa by 7%. We have a strong leadership in automotive share, in brand leadership with Fiat, and we were able to grow our pickup sales where we also lead by 25%, thanks to the success of the rampage. So our lineup of pickup trucks in South America is getting bigger and bigger and that supports the profitability and that supports the market share leadership that we have in Latin America. In China and India Asia-Pacific, a more difficult period, AOI at a little bit more than 5%. We see that we are using more and more our sourcing of parts in those highly cost competitive areas, India and also China, and we see that this local sourcing is going to deliver for the next couple of years a very significant contribution to the total production cost reduction that we need to protect the margins and give back to the market the affordability that the consumers are asking from us. While we do this, our regional presence is expanding thanks to the deployment of the smart car platform based family on Citroen, the C3, the EC3, now the C3 Aircross, and very soon one more model on this family that I have already commented. So we are now starting a new national sales company in Malaysia, and the good news is that we have started selling products coming from India in the Indonesian market starting with the BEVs. If we go to the accretive markets, accretive businesses, we see that financial services and independent aftermarket offensive are still on. We see that the results are very rewarding on the financial services our US Finco is scaling up ahead of plan. More than $10 billion receivables which represents the target we had for ourselves in December. We are ahead of plan and delivering quite nicely. We also see that our leasing company is expanding in Europe and getting very close to the 1 million mark that we committed to in 2026, most probably we will achieve that sooner. And we are up 7% year-over-year in this period at 887,000. So very close to 1 million very soon. In Brazil, we have now a Finco which has all the products, the receivables have doubled and we see that our financial services are growing, generally speaking ahead of plan and that's great news given the way the markets are going. In terms of independent aftermarket business, 27% of sales growth year-over-year. And this is the combination of organic growth and also of M&A with the acquisition of DPaschoal in South America. All of this has delivered a 17% increase in private label sales. So 27% of sales growth for our independent aftermarket offensive, which meets perfectly the expectations of our middle-class consumers. We see that our multi-brand offering in terms of products is also growing and we now cover 90% of the vehicles in operation for the high turnover parts, which means 90% coverage means not only of course the Stellantis parts, but also the parts of our competitors, which means that we are making business independently of the brand and we are now offering to our independent repairers a very nice portfolio of products that they can use for their daily business with a very high level of customer service. Last but not least our affiliate network the Eurorepar network car service is also growing and growing profitably. The business is up. We see that we have reached the 6,500 garage mark worldwide. We call it a [fast-fister] (ph) business. It's growing. It is highly profitable. We are already Number #3 in Latin America and Number #3 in Europe. And it's moving in the right direction. We believe it's a good way to capture a bigger piece of value from customers that do not go to our brand dealerships and this strategy is delivering results. From here I would like to hand over to our CFO, Natalie Knight. She will comment to you the detailed financial results. Natalie, the floor is yours.
Natalie Knight : Thanks, Carlos. I want to compliment the operational outlook we've heard from Carlos today with five key metrics that really capture the big developments that you've seen in our business over the last six months. I'll start with the consolidated shipments, which were down 10% in the first half at 2.9 million vehicles. Next, we've got our net revenues, which came in at EUR85 billion and declined 14%, as the mix of lower shipments, FX and mix also worked against us. On the AOI margin, you saw 10%. This is tracking at the low end, but right in line with our full year guidance. And it's down obviously versus H1 '23 that record 14.4% we had achieved. We've also included a new KPI for you here, the adjusted diluted EPS. This was EUR2.36 during the period. It's down 35%, but that is favorable to our AOI, and that's basically due to the 4% reduction in our shares that we were able to take during the period because of our share buyback. Lastly, I want to talk about industrial free cash flow. This is something you see came in at a negative EUR0.4 billion. This reflects the lower AOI, our investment timing and of course the first half of 2024, which was really heavy with fluctuations in working capital and our investments. Now I'll talk about each of these in a little more detail, starting with revenue. If you look here you see the 14% decline I mentioned for the first six months of the year. The biggest driver by far is the volume and mix, which were driven by revenue headwinds, and part of that driven really by the lower shipments. When we look at the 10% shipment and volume decline, there are three things that stand out to me. First is when we look at North America, the declines were relatively higher versus other regions. And that also plays a double whammy on us in terms of -- because those products have a higher ASP, it also impacts the mix of the business. Second is we really have made strong improvements in our inventory in the first half of the year versus the end of the year versus that same period last year. So if you compare it to March, it's pretty stable. But when we look at it versus the end of the year, you see about a 50,000 shift. And this is something that in contrast to that 28% build that we had going last year, also impacts the volumes. Lastly on this point, as Carlos mentioned, we're operating a portfolio that's really enduring some temporary product transition gaps. This is something of a headwind in North America alone. It was over 100,000 units in the first half of the year. And we do believe that -- that will be progressively reduced in the second half of the year and beyond. I also want to talk about FX. It's not a huge item on the page, but you see here it had an impact of about 2% on our top-line. This was driven primarily by the Turkish lira. Now I'll move on to the AOI. And on the AOI, what you see is that we came in at the EUR8.5 billion. This is a significant decline versus our record H1 2023 result. But it's also something where, thanks to consistent cost reduction initiatives, we were able to continue to deliver the double-digit AOI. Now I've covered the volume, the mix the FX on the preceding slide. So here, I'd like to just spend a moment talking about pricing. This was something that was marginally positive for us in the first half. But let me make clear, this is because of the strong performance of the third engine markets in both North America and Europe, pricing was negative. When I come to a couple of the other items on the chart first, starting with the industrial cost, you see that it was about EUR159 million higher than it had been in the prior year. This is despite lower raw material costs and logistics expenses, but those were offset by on the one hand, higher warranty costs, but in particular just higher manufacturing fixed costs against lower volume environment. SG&A is something that improved during the period based on our ongoing cost measures and R&D declined by EUR133 million year-over-year. I'll now move on to our inventory. This is a spot where I do think we're making good progress versus where we've been in the last year. Our inventories were reduced by 51,000 units or 3% at the end of June compared to the end of '23. And this was really driven by progress on the European side. Our inventories in Europe were reduced significantly in the period. This is due to improving outbound logistics, lower production, and it allowed us to exit the first half at a healthy level of days of sales in the mid-60s, about 64, I believe. In contrast, if you look at the US, this is a spot where our days of sales are still over 90. Despite the fact that we have come down from our April peak, it is still an area where we clearly have work to do in the region. In the second half, Carlos has already mentioned that we are going to be focusing on a variety of enhanced go-to-market initiatives that we'll be implementing in the US. But I want to focus also on the fact that we will take a strong hand in terms of our production. We will be reducing at least 1,000 units that in the third quarter and that's something that is important in terms of how we think about the phasing of the second half of the year as well. Let me now focus on the free cash flow. I know this has been a hot topic today and definitely for me, the most disappointing performance metric of the first half. It's a spot where we came in close to zero. Yes, there was a negative EUR0.4 billion. That's really the result of a cut-off issue related to the end of the period. So we have about EUR800 million that came in right at the beginning of July that helped us as we start into the second half. Regardless though the first half of 2024, presented a stark contrast to the success that we saw in 2023 when we had a record free cash flow of EUR8.7 billion. So as previously discussed, obviously you see AOI was the biggest driver, with a EUR5 billion decline. But the bridge on the industrial AOI to the free cash flow says there's two other big items that played and it had an impact. First is there was nearly a EUR2 billion increase in our investment spend. This mainly is a result of the busy new product launch calendar that we have in the first half, but also the cash that we invested in our battery manufacturing JV has played a big role. Second, the other piece that I think you see very clearly on the page is working capital. Here, there are two important impacts to note. One is a result of our improving inventory position, and that brings unfortunately with it an impact on sales provisions, which was a big swing in the period. And secondly is the fact that we had lower production in the period, which led to lower payables. As I look at this next chart, you see here really a roundup of all of our key IFRS KPIs. But the ones -- there are a few here I'd like to talk about that really jump out to me in particular. The first one is if you look at our operating income, you see that it is down 50%. This reflects both the minus 40% of the AOI, but also $1.8 billion in unusual charges. This relates largely to our restructuring efforts that are ongoing in Europe, but also a EUR300 million charge related to resetting the Maserati business plan with an impairment on a platform. In addition, the other notable figure here is the net financial income that you see is up significantly. This is a spot where we benefited from higher interest on our cash holdings. The last line on this chart is -- talks about our liquidity and the available industrial liquidity came in at EUR54 billion. This is something that's 31% of the trailing 12-month number from our net revenues. It's down 1 point from 2023, which shows we are moving closer to the guideline I gave you at our Investor Day in June of getting into that 25% to 30% range. So now let us review the capital returns for the period. This is something where, if you look at our activities, we've returned dividends of EUR4.7 billion. We started our share buyback, the big tranche, and took advantage of some of the weakness in the share price and have now already repurchased EUR2 billion to-date. As we look at the rest of the year, we remain fully committed to the EUR7.7 billion of capital returned to shareholders, and that will be through the remainder through buybacks. As I mentioned at the Investor Day, we really want to recognize that when we look at -- to 2024, we have a full year plan, gets us to the EUR7.7 billion. And as we look into 2025, we know that this is also something that continues to be important and something that we can fund and something that you see in our dividend approach where we have a policy of 25% to 30% and we've already committed, especially based on the lower AOI expectations, to go to the higher end of that dividend range for the next year. So I'm going to wrap up my comments today with just talking a bit about our outlook. When you look at the numbers here, there is one piece, which is first, I'll call it, the external side of outlook. That is something where we've moved from saying we think the revenue backdrop is supportive to neutral. This isn't about our business. This is just what we are seeing in the market, which is probably very low single-digit growth for the broader industry and a year that's being characterized by higher cost consciousness from the consumer and rising industry supply. When it comes to AOI, I want to emphasize that we are working very hard to continue to deliver an AOI of 10%. But I also want to make sure it is clear that even more important, is that we are making sure that we are delivering the substantial progress on our operational improvement initiatives, everything Carlos talked about to make sure that we normalize our US inventories, that we improve our go-to-market effectiveness, that we are driving a stronger business as we finish the year and go into 2025. I think it's important to say here also that we've made tough decisions in the first half, and we will not hesitate to make them again in the second half as that is needed. We are confident that by doing so, we can put the company in an improved position for the rest of the year and on our journey for the Dare Forward 2030. The last area I want to share some thoughts on is the free cash flow. I know this is a topic, as I said, lots of interest. We believe we will deliver, and are confident in a positive result for the full year and the second half. First and foremost, that means we need to continue on our AOI performance, which is obviously one of the best in the sector. But we also need to deliver further working capital normalization. We believe that's very much in the cards. And also as we look at reducing our investment spending in the second half to the first half, this is again something I called out to you early in the year. You'll see in the second half a reduction versus the first half of at least EUR1 billion. So putting this all together, is something that we believe sets us up for meaningful industrial free cash flow in the second half and a stronger position for the full year. The last thing I want to say on guidance is just to make sure that it's clear given all these comments that we've talked about today, there will be a different split between Q3 and Q4 performance versus what you've seen in the last year. In the last year, you'll remember that we had a relatively balanced split between Q3 and Q4, but this is not typical for our business. Q3, we were building inventories ahead of the labor negotiations in North America. And then in the fourth quarter, we experienced significant strike disruptions. In 2024, you'll see us return to typical seasonality and then some, and that's because our North America inventory management and the product transition are going to deliver more negative impact in the third quarter. So just making sure that's noted. That concludes my finance comments for today. So I'll hand back to Carlos for some closing remarks.
Carlos Tavares : Thank you. Thank you, Nathalie. Let's go back to our last Investor Day on June 13th, just to confirm some of the things we have told you. First of all, we believe that our differentiators against the rest of the industry are intact and that all of those differentiators will continue to make part of the roadmap that we need to execute to stay on the leading pack of the industry in terms of profitability. We believe we have what we need and so far the double digit margin seems to confirm that we are on the leading pack. In terms of challenges, we confirm our guidance. It has been always the case for our -- therefore, 2030 strategic plan, double-digit and positive free cash flow. This is what we are fighting for. This is what we believe we can deliver as soon as we fix the operational flows that I was describing to you. In terms of value creation, we will deliver on our commitments. That's a very simple statement. That will be 11% annual return yield. And in terms of technology, we are dedicating 60% of our investments to multi-energy and software related technologies, which make the difference in the mind of our consumers. So if I step back from this, which is fundamentally a confirmation of what has been told to you on June the 13th. I will just add that if we step back significantly, we could say that in terms of inventory, Europe is fixed. US is on the way. We are now addressing it as the Number #1 priority of the management team. This is what we are going to do in the next few weeks in terms of understanding and triggering the right actions. In terms of Europe, it is stabilized. It is a very, very challenging market with a strong Chinese offensive. In addition to that, we have a specific problem to solve in the UK. The UK has shown to be with the ZEV mandate a very difficult market. The ZEV mandate is hurting significantly our business model and this is triggering a strategic review of our business model including the manufacturing footprint. We cannot accept as we have two plants in the UK making BEVs, as the UK government is asking for more BEVs, we cannot be in a position where our business model is damaged by the ZEV mandate. This is something that we have been discussing with the UK government, recognising that it has changed a few weeks ago. I must say that we have an intensive and productive dialogue. So far, we don't have the answers we need. We'll see what comes next. And I have decided to trigger a strategic review of our business model in the UK, because we cannot be making these in the UK and being the victims of the ZEV mandate. This is a contradiction that the company cannot accept. And of course, everything we do will be done with our union partners and this is always our way of doing things. That's the specific case of the UK. For Europe, we will continue to keep our inventories under control as they are today and we'll make sure that we improve the efficiency and effectiveness of the business model because as you saw it has been damaged over the last few weeks. Moving forward, our Leap Motor strategy is working. As we speak, the first hundreds of cars are now being shipped to Europe. The homologation process is moving properly ahead and delivering the expected approvals. We know that we will start selling the Leap Motor cars from September in Europe. We have already decided several vehicle assemblies in Europe to face the tariffs and the local content that have been decided. This is now already decided, already being executed, and we expect to see the first benefits of this strategic move from September. And as I said, the first shipment of 800 cars is now on the way from China to Europe. It is also clear that we are going to launch by the end of this year in nine European countries. We have already more than 200 sales points and we believe through the excitement of our dealers that there will be much more than that. I would like to close this presentation with two happy moments, two celebrations. The first one with Chancellor Scholz in Rüsselsheim was the 125 years of Opel Automobile. This is an acquisition that we made back in 2017, thanks to the trust of Chancellor Merkel. It has worked perfectly. It is highly profitable. It is a cool brand, a modern brand focused on electrification. Things are moving well. Of course, we'll have the ups and downs of the normal life of a brand. It's profitable, it's moving. We created significant value since we made this acquisition in 2017 and we were pleased to see that the Chancellor Scholz totally supported the direction in which we are moving with this brand and we're happy to celebrate the 125 years of Opel with him. That was quite clear. We will launch the new Frontera, both electric and hybrid, very, very soon. Second happy moment was the celebration of the 125th anniversary of Fiat in Turin, here in the Lingotto, which is an iconic place as we all know, and this has been reinforced by the launch of the new Grande Panda, which is bringing back Fiat in the B segment with a highly efficient product that is cost competitive, affordable and carries the best of the Stellantis Technology. This is going to bring us the volumes and the profitability that the Fiat brand needs. And the Fiat brand is already the Number #1 brand of Stellantis with more than 1.35 million cars sold and with a growing profitability that has been an excellent work done by the brand team. I would like to conclude this presentation before we go to the Q&A with this slide, you have here the Fiat Grande Panda, where we relaunch a Fiat icon at less than EUR25,000 for a pure BEV. We would like to confirm our double-digit AOI margin. We would like to confirm our capital return as it has been committed. We are in a transition difficult period with no less than 20 models to be launched this year. It's a transitional period. It's a period that has used a lot of our resources. This is the reason why in the past you have seen us reasonably cautious in the way we manage all the returns, but you see that we can at the same time manage the returns to you, the capital returns, and at the same time bring the appropriate technology and the products to the markets. This is what we are doing. It's difficult. I would like to thank our teams. They are doing an outstanding job, both at the top management level, all of our employees, our management lines, they are focused, they are working very hard, from time to time they are suffering, but they are holding on and I would like to thank them and pay tribute to their courage, their focus and their energy. This has been the strongest engine of this company. The people are the engine of this company. We know what the challenges are. We are taking action, not only on the operational floors, but also on the marketing tactics, mostly in the US. And we will keep on fighting for you and delivering the best possible results within the commitments that we have already told you. Thank you very much. Let's go to the Q&A.
Operator: Thank you. [Operator Instructions] We will take our first question from George Galliers, Goldman Sachs. Your line is open. Please go ahead.
George Galliers: Yeah. Thank you for taking my question. The question I had was with respect to the North American market. When I look at the market, I can observe that there have been two segments showing strong growth this year, which have been the compact and small SUV segments, where it looks like you're somewhat underrepresented with the Renegade, Compass, and Cherokee. Could you maybe talk, you mentioned in your opening remarks plans to bring a mid-size Jeep to the market. Do you have something to address the smaller market segment and would there be any opportunity to bring the cheaper [venture] (ph) for the US or is that difficult to get homologated or simply not suitable? Thank you.
Carlos Tavares: Well, thank you, George. Those are two excellent questions. Well, first of all, what you say is absolutely correct. One of the things we are missing right now in the US is the brand new Cherokee, the compact SUV. We will bring it in 2025. The Cherokee that will complement the Grand Cherokee. It's in the making, it's on the right track, so that what we would call right now the white space is going to be filled in 2025. And this is absolutely appropriate to highlight that miss. It's on the way and it's going to be done in a very proper and exciting way as I have seen the designs of this product. Secondly, no regrets on the Renegade. The Renegade was not making money, so no regrets on the Renegade. We are going to bring a product that you would call the Renegade successor. So far, we have not yet decided what them would be, but that will come in 2026. And it will come with a customer structure and a cost structure that will make the model profitable. This is going to be the model that will be sold at $25,000 as an EV. It's in the making. It is benefiting from everything we have learned on the smart car platform families. And this product is going to be bringing their profitability and the price point of $25,000 and the zero emission mobility. That's for 2026. So the two points you address are absolutely those that we are working right now on. We agree with your point. Avenger has proven to be less attractive for the US Market. So we have decided to bring Avenger to Latin America. Latin America is going to be the place where we are going to introduce the Avenger very soon. It has already been decided a few months ago and it will come, I believe, let's say within 18 months, as a Latin American sourcing of a compact Jeep that will complement the Jeep Renegade that we already have in Latin America. So those are the things we are doing right now to address your very fair remarks. Thank you, George.
Operator: We will take our next question from Michael Jacks, Bank of America. Your line is open. Please go ahead.
Michael Jacks: Hi. Good afternoon, everyone. Thank you for taking my question as well. And Carlos, unfortunately I'm going to touch on one of your favorite topics again, pricing but can't help but notice the significant deterioration in pricing in Europe, North America, and South America in Q2. How much of this can we attribute to working through old model year inventories? And is this now the base that we should expect for the rest of the year? Are prices going to deteriorate further from this point? Or could there be a bit of a moderation in the coming quarters? Thank you.
Carlos Tavares: Well, thank you, Michael. You are right. It is one of our preferred topics because it's a way to monetize the value that we create and there is no sense in destroying the value that we create through pricing that do not represent what the customers should recognize. In terms of pricing power, what we believe is that pricing power is not an absolute concept. It is about when you are in a price band with your competition, making sure that through the appeal of the products and through the quality of the products, you can be positioning yourself in the high end of the related price band. So it's a relative concept where in the price band where you are competing, you look at your competitors in that segment and for the price band that that segment represents, you want to monetize the value that you have created and the appeal that you have created with your teams. So indeed what we try to do and we don't always succeed is for a given segment and the related price band to be at the high end of that price band. Now what we do not say is that this is frozen. The price band of a given segment may move up and down depending on the competition. You can expect that some Chinese competitors will try to bring the price band down. And if the price band is down for that given segment, we have to adapt, because if we don't adapt, then you will tell me that we are too pricey. So what we can do is, for a given price band, for a given segment, we can monetize at the high-end of that price band by bringing more appealing products that hopefully we can sell with smarter tactics. This is what we are trying to do, and we don't always succeed. But that's what we are trying to do. Now, if the price band moves because of the offering, because of the competitive set that is coming to the market, obviously we have to recognize that the market is the market. And then if that happens and if that price band goes down because of the competitive offerings, then we just need to recognize that and work harder in the cost reduction to create the margins that you can then give back to the market while you protect your base margin. So if you want to protect your base margins and the price band is going down, you have to accelerate your cost reduction and give that cost reduction back to the market to protect your competitiveness. So how are the price bands going to move in the future for the segments in which we are competing, obviously it is very hard to answer that question. We can expect that the European market will contribute, will be under significant pressure because of the Chinese offensive, but it is also true that for the specific European market, the import tariffs are going to slow down that pressure or reduce that pressure because from 31% to 38% custom duties, that has an impact on the price positioning because it absorbs the 30% cost competitive edge of the Chinese ex-work vehicles. That means that possibly that pressure will be slightly less strong than what we could expect without tariffs. That is going to help the profitability. And of course, we will try to maximize our margins within the price band of the competitive set in which each vehicle is competing. So the import tariffs in Europe may create some kind of ease, hopefully they will -- we'll see. But anyway, in the rest of the world we will be competing harsh head-on with the Chinese, which we are currently doing. In the US, the situation is different and you can see that for the time being the results of our competitors are not demonstrating that price pressure is going to vanish. So we will just try to be smarter in our marketing tactics and we will adjust in a non-dogmatic way wherever we have to adjust but still keeping in mind that for a given second -- segment, for the competitive set of that segment, there is a price band, and in that price band we'll be trying to position ourselves at the high end of that price band with the appeal of the products that we bring to the market. So everything starts with product, and this is why I was so proud to show you the 20 brand new models that we are bringing to the market. Thank you. Thank you, Michael.
Operator: We will take our next question from Thomas Besson, Kepler Cheuvreux. Your line is open. Please go ahead.
Thomas Besson: Thank you very much. I'd like to come back to a topic we discussed during the investor day, but I'd like to get an update on that Carlos, please. Could you discuss the wrap-up for your four new platforms and how much it has or it's still impacting the launch of new products. It seems to be -- to some extent, delayed. I'm not sure if it's effectively similar by region or by platform, but maybe you could share with us some elements on this. When I think about [Peugeot] (ph) 3008, 5008, I have the impression that this is something that should be more in the market than it is effectively for the first of these products. I think the same applies for LCVs, but maybe you can share some thoughts with us on this topic. Thank you.
Carlos Tavares: Absolutely Thomas, and thank you for that question. I think it's very relevant. It is quite clear that against the usual process of launching our vehicles, we are presenting and unveiling the vehicles and showing them to the world at a given point. And then a few months later, we have the production ramp up. It is absolutely clear, and there is no reason to hide that, that we are being extremely cautious in the launch pattern of the new vehicles. So it is not because we are late, sometimes we are, but not always, it is because we are trying to be merciless with quality and if we are not happy with quality then we pause or we stop and we fix before we go again up. So we are being extremely prudent on the launch pattern of the new products and we control the quality at each step of the process. The reason why we are doing this, of course, is because we want our customers to be happy, but we also see a significant inflationary pressure on the warranty costs. There is inflation out there and we want to recognize that that inflation needs to be counter-measured with a much better quality. And therefore we are raising the standards and we are raising the demand in terms of ramp-up quality control to make sure that if something is not meeting the standards, then we slow down or we stop the ramp up. That means that the launch and the visibility of the models that we launch may be to a certain extent showing to be slower because of that caution. And that caution is coming from the fact that it is for us a no-brainer that we need to make our customers happier and recognize that there is pressure on the warranty cost, which is the best measurement of that demand and any potential disconnect between the demand and what we are offering to the market. So we are quite cautious with that. You may hear from that, Thomas, including from our own people. It is normal. We intend, and you may hear more of this in the near future, we are going to raise the bar. We are going to be totally merciless in terms of quality. We want the quality to continue to improve, as it did since we created Stellantis, but we see that despite the strong progress that we have done since we created Stellantis, I think that the customer demand is growing even faster. And that's what I am measuring on my warranty cost pressures. So we are going to raise the bar. Now, one of the things we can do, which possibly will at least fix part of what you feel, is that possibly we need to unveil our cars closer to the ramp up and not as anticipated as it is today. Perhaps that is something we can do is to bring the unveiling and the official launch of the car closer to the ramp up so that once you see the car you can see the impact quicker than what you have experienced so far. But your point is absolutely valid and just trust the fact that we are going to be merciless on quality. We want to improve the quality because we believe the customers are asking for more. Thank you Thomas.
Thomas Besson: Thank you.
Operator: We will take our next question from Patrick Hummel, UBS. Your line is open, please go ahead.
Patrick Hummel: Yeah, thank you. Good afternoon. I would like to double check with you, Natalie, when you say the operational measures are more important than the 10% AOI margin in second half, does it mean we should look at that 10% now as an ambition for H2 or would you still make it a clear commitment? And is it fair to say that US margin will be lower than H1 because of the lower outputs, so that other regions like Europe should be performing better as the de-stocking has come to an end here. And if I can on the free cash flow, taking the items of working capital minus EUR4 billion in H1, the settlement EUR800 million, and you mentioned investments will come down in the second half. Is it fair to say that the free cash flow in the second half should be order of magnitude EUR6 billion give or take? Any color would be much appreciated. And very lastly, would you be willing to give EUR1 billion amount, how much dealing with maybe if I may call it that way, the commercial mistakes you made in terms of production mix, how much is the total amount this will cost you this year? The background of that question is I want to get an idea what's the clean sheet for building a bridge into 2025. Thank you very much.
Carlos Tavares: Thank you, Patrick. I'm so happy to end over these questions to Natalie. Thank you.
Natalie Knight: Okay, there were a few in there. So the first one was the conversation about the 10% and how does that work with our operational targets. The commentary in there was from my side was just to make very clear that a 10% is not a walk in the park for us. We're going to be fighting for this every day as we look at the second half. It is our commitment to the market. So we're working hard every day at that to make sure that we can deliver the best results possible. But what I wanted to emphasize was, I think one of the critiques that we've gotten as we looked at the last six months or so was the question of, hey are you really going after the topics that are going to move the needle for you going forward? And that was the piece that I wanted to make very, very clear, is that -- that is our priority. And you heard, I think, great examples from Carlos in terms of how we're going to approach that, whether it's the go to market approach, whether it's the marketing tactics. I think the production topic in the US is going to be a key lever to that. So those are some of the things that we're doing. I hope the opportunity is very much we're going to be able to do both of those topics with the AOI and deliver on those -- the health of the business. But I just wanted to emphasize that that piece is really key, and I don't want people to see us as doing something where we would ever trade off improving the health versus getting the profitability. So that was question number one. Question number two, was on the North America margin and what that looks like in the second half of the year. And I'd say it is a little too early to say. We're focused on how do we make North America as strong as we can. We're a team here at Stellantis. And everything that we need from North America, we get from the rest of our business as it's needed. And we're asking all of our business to step up as we go into this position where, as you saw, for example, in Europe, we made a big effort in the first half to clean up the inventory. It's now, 90,000 lower in terms of units. That puts us in a much better place to be able to say, here's now the time we need to focus on how does that business and how does this new strong third engine that's there help if needed. But we are pushing hard in North America. It's the biggest piece of our business, and they're also going to have to contribute to how we get to those numbers. It doesn't work without North America. Let's see, you also asked about free cash flow and how we see that for the year. I'm not going to answer a specific number in terms of the second half. That would be pretty forward looking. What I can say is I think I've given you clear guidance that we believe there's opportunity in the second half that wasn't here in the first half. You talked about the EUR800 million in terms of what's come into the second half already. You talked about the R&D, CapEx, and M&A where we see EUR1 billion, at least EUR1 billion move out of the second half into the first, tied to our timing. The other big key is working capital, where we are going to continue to make progress. I think that's one when you look at just the development of our business, you're going to see continued reduction of inventories. And I think also the trend in production being more something that's moving in the positive direction in the second half versus as we looked at the first half, we saw that declining over the period and that was a big working capital cost to us. I think the last question was can we -- will we quantify what the commercial mistakes cost us this year in terms of what's the upside for next year. I think what you see in our results is what it cost us in the first half of the year and there is something in terms of, we started the year with inventory that was too high that we were working on cleaning up. We talked about the product transition and you see that we called out just in North America alone, [100,000] (ph) of the 185,000 of those vehicles were things because we had new product coming, but we had old product that was gone and we had that mix. That will be something that improves visibly as we go into 2025. When we look at the second half of the year, I'd ask you stay with us. You are going to see a lot more as we go into the third quarter where you say, hey, what we do there in the production and that 100,000 vehicles that we take out, that's also something that I certainly don't anticipate being repeated in the next year. So those are my comments. Did you want to add anything, Carlos?
Carlos Tavares: Fine.
Natalie Knight: Okay, good. Then we're on to the next one.
Patrick Hummel: Thank you.
Natalie Knight: Thanks. Bye, Patrick.
Operator: [Operator Instructions] We will take our next question from Bruno Dossena, Wolfe Research. Your line is open. Please go ahead.
Bruno Dossena : Hi. Thank you for taking the questions. I wanted to step away from the near-term cyclical dynamics and how you are thinking about your capital base over the next several years because your US peers are seeing massive losses from their EV business. And the majority of those losses stem from high structural cost bases. And I appreciate your multi-energy approach helps on capital efficiency. But now, over the next few years, you're ramping EV volumes in internal battery capacity. And I was wondering if you could help us understand how you're thinking about the trajectory of net structural costs going forward. Thanks.
Carlos Tavares: Well, that's a $1 million question indeed Bruno. Thank you for asking. Several things we can say is from a pure engineering standpoint and the customer expectation standpoint, we are absolutely comfortable with the multi-energy platform strategy. The benefit of having a dedicated EV platform is marginal in the eyes of the consumer from everything I have studied and I spend many hours with our engineers looking at that, we are very comfortable. And what you can see with for instance, the example of the Peugeot 3008 is that with a multi-energy platform, the Stella M, we are best-in-class in terms of performance. You just have to test the vehicle to enjoy the autonomy, to see the accelerations and the body roll control. It's best-in-class. There is nothing left that the customer would be willing to have on the car. So that is obviously the right strategy. I don't think it is a debate anymore. I think it's obvious that given the uncertainties of the world, given the fact that it's easy to anticipate there will be bumps on the electrification pauses, it is quite easy to see that this is the right strategy. And hopefully the longer those hesitations, the more time we'll have to make sure that we depreciate those assets which of course we all need. In terms of strategy with those hesitations the good thing about what we are doing, and obviously you understand that I'm not happy with the H1 results, is that by investing the product attributes, the platforms, the electric motors, the electrified transmissions. I have now the components. I have the components to make electrified cars, to make the mild hybrids for the middle classes, the high performance BEVs for the more affluent customers. So I have the components, so I can compete both on the BEV and on the ICE. What is left in my pocket is that I don't have to spend the capacities now because of the hesitations. So the capacity side of it is still in my pocket, which means I will invest the capacities in function of the hesitations. I'm not going to spend the money of the capacity if I don't have clear signs that the capacity is going to be used. This of course, is going to relate to batteries, to electric motors, to raw materials, to anything that has to be invested to support a steep ramp up. So the good thing is we have the products, we have the base bricks of the electrified technology. All of this is allowing us to compete in the market, to learn, to improve. And we will invest the capacities of those components in function of the hesitations, in function of the regulations, in functions of the unpredictable things that we are unable, both of us, to anticipate today. So That's one. That's an obvious one. And I feel good about the fact that I'm not wasting your money, because I'm just investing on the products that I can sell. I'm not investing on capacities that eventually I would not use. That's question number one. On the question number two, structural costs are like variable costs. You continuously need to reduce them for a very simple reason, is that the market right now for the electrified products is not at the level of affordability that the customers are expecting from us. So for the near future, the expectations of our customers are extremely clear. What they want from us is that we sell BEVs at the price of ICEs, simply put. So anybody thinking that for the near future being able to achieve BEV sales with any other price than ICE pricing is not facing reality. And we believe that we have to face that reality. So we will keep on working on our structural costs. We will keep on making sure that we reduce not only the fixed but also the variable costs. That relates to everything we do in G&A, everything we do in real estate, everything we do in sourcing in best cost countries. I believe that at the price of being unpopular, we have a competitive edge in the speed and the magnitude at which we are moving to best cost countries. And this is going to be paramount to rebuild the margins that you need to build to rebuild when you are giving back to the market some of the affordability that our consumers are expecting from us. So I feel good about that. Hopefully I answered your question. Thank you. Thank you, Bruno. Next question.
Operator: We will take our final question from Daniel Roeska, Bernstein Research. Your line is open. Please go ahead.
Daniel Roeska: Hey, good morning, good afternoon. Thanks for taking my question. Carlos, can we take a step back? Investors have long viewed automotive stocks skeptically due to the technical nature, high CapEx, low returns. I mean, we can go back to Sergio's confession of the Capital Junkie of 2015 here. With Stellantis, you've executed on one of the key demands that Sergio had back then, which is consolidation. Yet today, with this Q2, it kind of feels that you and the Stellantis team still fall prey to what feels like a typical auto sector dynamic. So my question, how do you think the sector, or more specifically Stellantis, can demand better valuation from investors?
Carlos Tavares: Well, that's also a very difficult question, but I will candidly answer to you. First, I am old enough to remember the time where the average profitability of the auto sector was 3% and the [best guys] (ph) were at 6%. I still remember that. Secondly, I would say that the returns to you -- the shareholders, at 11% annual return yield are strong ones, and we are going to deliver the EUR7.7 billion of return that we committed to you. That's a fact and that's a commitment that, as always, we honor. And third, it is true that there is one thing that an investor should think about, which is -- to which extent is the regulatory chaos going to challenge the profitability of this industry. I have been very transparent to you on what I call the Darwinian period. I've been very transparent to you on the fact that one of our major differentiators is that we have a low breakeven point. By the way, the breakeven point of Stellantis in H1 is much better than the commitment that we have made to you, which is less than 50%, so we are there. And we are protecting that. Of course, as we are funding an enormous product blitz, our free cash flow in H1 does not meet my expectations, but we are funding a 20 product blitz, which of course we need to recognize, and we are doing this in a point where the convergence of headwinds is absolutely visible for all of us. So if I was going back to the Capital Junkie presentation of our respected Sergio, I would say that Stellantis is the concrete expression of the scale that you need to have to use the resources of your shareholders in a meaningful way. So that's what we did. FCA was too small, PSA was too small, Stellantis has the right scale. That's an answer that I'm sure Sergio would recognize. The second one is that if you look at the profitability that we delivered in H1, despite the fact that we are humbly disappointed, it's much higher than the profitability of FCA and the profitability of PSA on a standalone basis. So that's the second answer to your question. Now of course you are looking forward and you are right to do so. And now we are both bumping on one thing is where is this world going? Where is the fragmentation going? Where is the trade war going? Where are the wars going? And on that front, I'm not better than you. I'm certainly worse than you are in being able to anticipate those moves. What I can tell you is that our company is highly profitable in a disappointing half year. Our company is significantly below 50% break-even point in a disappointing half year. Our company is executing a product blitz that never existed in the past history of the two families. And our company is in a much better profitability situation than the two families in a standalone position. We have over delivered on the synergies that we have committed to you and we see clearly what are the problems we need to solve. So what I would say is, in this first half the perfect convergence of the product blitz funding with operational flows and the specific problem of the inventory in the US combined perfectly on the same timing to make our life difficult. That doesn't mean that we are not fighting and that we have lost any energy. We are just humbled and to a certain extent even more angry than we were before because we want to prove to you that this is a bump in the road and this is what we are working for and this is the reason why I will spend some of my vacations in the US to make sure that I work with my US teams to find the appropriate answers. This is what I can share with you. And both Nathalie and myself, we are humbled and focused in making things better for the second half. Thank you for your trust and thank you for your great questions. Hopefully we could answer them clearly. See you soon. Bye, bye.